Company Representatives: Howard Woltz - President, Chief Executive Officer Mike Gazmarian - Vice President, Chief Executive Officer, Treasurer
Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Insteel Industries' Fourth Quarter Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers presentation there will be a question-and-answer session. [Operator Instructions]. Please be advanced that today’s conference is being recorded. [Operator Instructions].  I would now like to hand the conference over to your speaker today, H. Woltz, President and CEO. Thank you. Please go ahead, sir.
Howard Woltz: Good morning. Thank you for your interest in Insteel and welcome to our fourth quarter 2019 earnings call, which will be conducted by Mike Gazmarian, our Vice President, CFO and Treasurer, and me. Before we begin, let me remind you that some of the comments made on today's call are considered to be forward-looking statements, which are subject to various risks and uncertainties that could cause actual results to differ materially from those projected. These risk factors are described in our periodic filings with the SEC.  All forward-looking statements are based on our current expectations and information that is currently available. We do not assume any obligation to update these statements in the future to reflect the occurrence of anticipated or unanticipated events or new information. I'll now turn it over to Mike to review our fourth quarter financial results and outlook for our markets, and I’ll follow-up to comment more on business conditions.
Mike Gazmarian : Thank you, H and good morning to everyone joining us on the call. As we reported earlier today, Insteel’s results for the fourth quarter of fiscal 2019 continue to be negatively impacted by the surge in low price import competition, spurred by the Section 232 tariffs on imported steel, resulting in a loss of $0.09 a share as compared to $0.49 a share of earnings in the prior year period.  The increase in imports continue to be centered in certain of our PC strands and standard welded wire reinforcement markets where foreign competitors are leveraging the considerable cost advantage they now enjoy as a result of the tariffs, which have driven U.S. prices for hot rolled steel wire rod, our primary raw material, substantially higher than global market levels. Not surprisingly foreign competitors have responded by under- pricing domestic producers in order to expand our market share.  Following the record rainfall we experience through the first nine months of the fiscal year, which resulted in construction project delays and deferred orders, the weather was largely a non-factor during the fourth quarter with precipitation following the average or below average levels across most of our markets. Despite the improvement in the weather, shipments for the quarter fell 4% sequentially from Q3 and were up only 7.2% from the depressed level of a year ago.  Drilling down into the year-over-year comp, shipments into market's most affected by import competition which represented around 30% of our sales for the quarter were essentially unchanged from a year ago, reflecting the surge in imports, while the volume for the remainder of our business was up 11.9%.  Average selling prices for the quarter fell another 6.5% from the third quarter and were down 12.8% year-over-year due to the import related pricing pressure, as well as domestic competitors attempts to back-fill lost volume and retain existing business.  The ASP erosion was more pronounced in markets subject to import competition, where the sequential reduction from Q3 was 10%, which is more than double the 4.2% decrease for the remainder of our business.  Gross profit for the quarter fell $15.7 million from a year ago and gross margin narrowed to 3.4% due to the compression and spreads between selling prices and raw material costs. On a sequential basis, gross profit decreased $4.4 million from the third quarter and gross margin fell 310 basis points, also due to lower spreads and to a lesser extent the reduction in shipments.  The spread compression that we've experienced over the course of this year has been compounded by the consumption of higher cost inventory and the decline in price environment. Considering that we're typically carrying around three months of inventory valued on a FIFO basis, the ongoing price pressure has resulted in the matching of lower ASPs for our products against higher cost inventory that was purchased in earlier periods, further reducing spreads and margins. This unfavorable trend has persisted during the year, following the initial run-up in prices that occurred during the second half of fiscal 2018.  SG&A expense for the quarter fell $1.6 million to $5.9 million or 5.2% in net sales from $7.5 million or 6.2% last year, due to lower incentive comp expense driven by a weaker financial results, and to a lesser extent the reduction in the earn out liability related the OEP transaction.  Our effective tax rate for the year rose to 24.9% from 22.4% through the third quarter and 22.7% last year, excluding the impact of the $3.3 million deferred tax re-measurement gain on the prior year amount. The increase was largely driven by permanent book tax differences which had an amplified impact on the rate due to the lower pretax earnings, together with an increase in the overall state tax rate.  Moving to the balance sheet and cash flow statement, cash flow from operations for the quarter rose to $32.5 million from $4.1 million last year due to a $31.4 million reduction in working capital as we made significant progress rebalancing our inventories from the elevated levels of earlier in the year.  Following Q3’s $12.6 million decrease inventories dropped another $33.8 million during the fourth quarter and a 27% reduction in the quantity on hand and an 8% decrease in average unit cost, reflecting the continuing decline in wire rod prices.  Based on our sales forecast for Q1, our quarter end inventories represented 3.1 month of shipments yet paired with 3.5 months at the end of the third quarter, valued at an average unit cost that was lower than the beginning average and the amount reflected in Q4 cost to sales.  These lower costs should favorably impact our margins during the first quarter unless ASPs fall to the same or a greater extent, as well as the case of the last two quarters due to continued pricing pressure.  On a pro-forma basis our gross margin for the fourth quarter would have been around 500 basis points higher than the reported amount, that cost of sales was adjusted to reflect the lower caring value of ending inventory and ASPs were unchanged.  In allocating our cash flow and managing the cyclical nature of our business, we continue to focus on three objectives: reinvesting in the business for growth and to improve our costs and productivity; maintaining adequate financial strength and flexibility; and returning capital to our shareholders in a discipline matter. Going forward we will continue to balance these objectives in deploying capital and any excess cash balances.  Capital expenditures came in at $10.5 million for the year, down $7.8 million from last year, focused on cost and productivity improvement initiatives in addition to recurring maintenance requirements. Looking ahead to 2020, we expect CapEx to come in at less than $17 million.  We ended the quarter with $38.2 million of cash-on-hand or just under $2 a share and no borrowings outstanding on our $100 million revolving credit facility, providing us with substantial financial flexibility and the ability to pursue any attractive growth opportunities that may arise in this challenging environment.  Looking ahead to fiscal 2020, we expect favorable conditions in our construction end markets with higher growth in the infrastructure segment, offsetting further moderation and non-res activity as we move later into the cycle.  Through the first eight months of the year, public construction spending was up 5.7% from a year ago with highway and street construction one of the largest end use applications for our products rising 10.8% year-over-year.  The favorable trends for state contract lettings over the past few years should translate into continued growth in infrastructure spending in the coming quarters, particularly in larger markets such as Texas, Florida and California, supported by various funding initiatives including fuel tax increases, bond issuances and other ballot measures.  The Architectural Billings and Dodge Momentum Indexes, leading indicators for nonresidential building construction have remained flat this year reflecting relatively stable conditions with the ABI averaging 50.1, just above the 50 growth threshold through August.  The recent AIA consensus construction forecast reflects the growth in non-residential billing construction slowing in 2020, but remaining positive at 2.4%. We should also benefit from any weather related deferral of business from earlier this year as contractors continue to play catch up in the coming quarters.  I will now turn the call back over to H. 
H Woltz: Thank you, Mike. As Mike indicated our fourth quarter results reflect modestly improving shipment trends relative to the prior year, resulting from reasonably favorable underlying demand for our reinforcing products and a return to more normalized weather conditions. Looking forward, we expect construction market conditions will support continued growth in the demand for our products during fiscal 2020.  Not surprisingly, our fourth quarter financial performance was negatively impacted by the continuing surge of imported products that we've contended with since last year. Through the first half of calendar 2019, PC strand imports increased by nearly 50% from the prior year and imports of standard welded wire reinforcing from Mexico have been decreased by 60%. In both cases, foreign competitors have expanded their market share by under-pricing domestic producers which have served to displace U.S. production and US workers.  Average unit values for imports have fallen to levels that are only marginally above U.S. wire rod prices, creating an unsustainable competitive environment for domestic producers.  Unfortunately current conditions continue to incentivize foreign competitors to shift production downstream and capitalize on the market distortions that have been created by U.S. trade policy. Since it appears the administration is firmly committed to its steel trade policy, the only reasonable resolution of these distortions is to extend the Section 232 Tariff to include downstream products.  We have continued our dialogue with the administration and believe they understand the unintended consequences of current policy and our valuating options to address the matter, although it's not possible to predict whether they'll take action to correct the distortions that have been created.  It’s obvious however that the impact of current policy is antithetical to an administration that is arguably more focused than any prior administration on the strengthening of the domestic manufacturing industries.  We'll continue to reassess our operating strategy in response to the unfavorable market changes resulting from the tariff, but our current plans are to continue to compete with low priced imports, run our plants and strive for additional improvements in manufacturing efficiencies and costs, while we work toward a satisfactory resolution of trade matters with the administration.  Turning to CapEx, 2019 came in at $10.5 million reflecting timing differences relative to our prior expectations. We are forecasting 2020 investments of approximately $17 million, subject to revisions as we move through the year with investments targeted toward expanding our product capabilities, lowering the cash cost of production and updating technology including our information systems.  During Q4 we continued commissioning activities for a new ESM production line at our North Carolina facility that will increase capacity for certain niche products, as well as substantially reduce our cash operating costs. Market conditions for ESM continue to be favorable, which will support a smooth ramp-up of the line, following additional modifications and the equipment vendors confirmation that it complies with our performance specifications.  In summary, we believe that 2020 will be another growth year in demand for our products. We will remain focused on improving all aspects of our manufacturing operations and we'll continue our dialogue with the administration to address the challenges created by steel trade policy, and we’ll continue to be vigilant in pursuing attractive growth opportunities both organic and through acquisition. This concludes our prepared remarks and we’ll now take your questions. Chris, would you please explain the procedure for asking questions. 
Operator: Yes sir. [Operator Instructions]. And our first question comes from the line of Julio Romero with Sidoti & Company. 
Julio Romero: Hey, good morning Mike, good morning H. 
Howard Woltz: Good morning. 
Mike Gazmarian: Good morning Julio. 
Julio Romero: I wanted to ask about your ASPs, your average selling prices. It seems like earlier in the year they were holding up a little better than maybe I expected, even with this kind of similar backdrop and it seems like the levies on selling prices might have kind of broken a little bit harder this quarter. Can you just try to quantify it all, maybe how much industry dynamics the inventory reduction by your competitors may have affected ASPs versus let’s stay the decline in fuel prices and you know how that’s all kind of shaking out? 
Mike Gazmarian: Yeah, I'm not so sure that we can answer the question exactly as you asked it, but let me say that it’s been highly competitive all year. It didn't change there in our fourth quarters and its driven both by domestic competition and import competition and I think one of the underlying realities is that steel prices worldwide have been under tremendous pressure during 2019. So I don't discern an up-tick in the level of competitive activity; it's been pretty intense all year. 
Howard Woltz: And Julio, as I indicated in my comments, the pricing pressure has been more pronounced in those markets that are susceptible to import competition or if you drill down into that 6.5% sequential reduction, but the decrease for the import sensitive portion of our business was more than double the reduction for the remainder. So it just again highlights the impact of the increased import competition. 
Julio Romero: Okay, that's helpful. Mike, would you happen to have the 2019 gross profit drivers. Kind of unchanged from last year or there is anything to highlight there. 
Mike Gazmarian: No, I mean in terms – are you referring to just the relative impact on the quarter or…
Julio Romero: No, I was referring to typically annually you guys break out you know raw material cost of sales versus manufacturing and freight. 
Mike Gazmarian: Right. Yeah, we’ll actually be posting an updated presentation later today that will provide that detail, but when you look at the changes of the components you will see that the shift with the raw material percentage being a little higher relative to the other components, but that will be out there later today. 
Julio Romero: Okay, and just maybe one more and I’ll hop back in the queue. It was just, can you maybe talk about how weather has trended maybe throughout the first few weeks of October? 
Howard Woltz: Yeah, I mean still, it’s been spotty. I mean, there’s been some markets that have experienced some rainy stretches, but overall I think we're still backed down closer than normalized levels from what we experienced though the first three quarters of the year. I think if you look at the Q4 weather data just from a precipitation standpoint it was right in line with the average levels going back historically. 
Julio Romero: Got it. I’ll hop back into the queue. Thanks very much. 
Operator: Thank you. And our next question comes from a line of Tyson Bauer with KC Capital. Your line is now open. 
Tyson Bauer: Good morning gentlemen. 
Howard Woltz: Good morning Tyson. 
Tyson Bauer: When we went through the period of the dollar strengthening as we saw, plus the pending tariff increases by another 5%, did that create an exacerbation of the problem that you had seen in the prior quarter? And does that provide any some less or a little bit of a relief as we go in, if those metrics are in place as they were a quarter ago? 
Howard Woltz: So certainly the strengthening dollar has an influence, but I would say it's moderate at best. The tariff increase you are referring to is not applicable to the Section 232 steel tariff that’s affecting in steel. It's probably the 301 tariff that is a China issue. So I'll just tell you that the dislocation of steel prices in the U.S. relevant to the rest of the world continues unabated and continues to be the root cause of the pressures that we're feeling. 
Tyson Bauer: Okay. Mike you talked about a 500 basis points reduction due to the inventory and pricing. Obviously you can't attribute all of that to the 30% that's affected directly by the imports. Is there a way to try to slice that to see where the true impacts came from? 
Mike Gazmarian: Yeah, I don't know that we can drill down to that level. I think just getting back to my comments on spread compression that we've experienced over the course of this year, it’s really just a function of timing being behind the curve aside from the increased import pressures is the matching of this – the higher cost inventory versus the continued reduction in ASPs. So I think we just need to get to a point and when we reach a bottom and level out at some point I think you know our results will be more reflective of the current market environment and will get this timing issue behind us. But as long as it persists we are likely to see that same dynamic. 
Howard Woltz: And Tyson just to add some context to that, the American metal market reported yesterday that wire rod prices have fallen now for eight consecutive months. So that sort of environment is typically challenging for us. 
Tyson Bauer: Okay. There have been reports of a potential claw back in the FAST Act that could be implemented July 1, 2020. Do you have any further color or commentary that you could provide in regards to those reports – that possibility of $7.6 billion being taken back out of the original budget?
Howard Woltz: No, we have seen some references to that action and concern about the potential impact, but I think a greater concern is just what comes out of the budget process in DC where we are back to operating under a continuing resolution that runs through November and you may recall that when there was a two year budget agreement reached earlier that this hasn't – the second year hasn't gone into effect yet, you know pending an agreement on the 2020 budget. So I guess until we have better clarity there it’s difficult to really you know estimate what the overall impact would be. Whether that recession maybe – it could be reversed or there could be additional funding provided and final budget yet to be seen. 
Tyson Bauer: Okay. Thank you gentlemen, I'll go back in queue. 
Operator: [Operator Instructions] And our next question comes from the line of Tim Curoe [ph] with [Inaudible]. Your line is now open. 
Unidentified Analyst: Hi. I’m trying to get a better understanding of the tariff situation. Can you be specific on any responses you have received related to your efforts to get the 232 tariffs extended? 
Howard Woltz: Well, as I said in my prepared comments, we have been successful in providing extensive data on the impact of imports on our performance and I think it's clear that there's an unintended consequence. I think the administration appreciates that there's an unintended consequence. The question is whether there is action to resolve it or not and I honestly cannot comment on whether that will happen, but I do believe that there is some degree of alarm at the adverse consequences, downstream producers of the current environment and I believe that is very contrary to the aspirations of this administration, to nurture the manufacturing industry. So the optimist in me says that there will be a resolution that's favorable to Insteel, but it's difficult to note when that might happen. 
Unidentified Analyst: Well, I agree with your views, but when you say you've been successful, does that mean that they have acknowledged the problem in writing to you? 
Howard Woltz: No.
Unidentified Analyst: So is it just some open ended process where there is no deadline by which a response has to be made? 
Howard Woltz: Correct.
Unidentified Analyst: I mean, it would seem like there would be a formal process. You file a complaint and they are required to reply to you in writing; that's just not the situation, right.
A - Howard Woltz: That's not the situation at all. This is a matter of administration prerogative and that's how the tariff was implemented and it will be administration prerogative to change it. 
Unidentified Analyst: Okay, and is the problem also that you're not trying to get tariffs released but you're trying to get tariffs applied to others and they just – there's just not a real mechanism to deal with that. 
Howard Woltz: You're correct, but we have not advocated for termination of the section 232 tariff. We have advocated for recognition of the interdependence of the supply chain where you can’t tariff up-stream products and not tariff downstream products without creating exactly the situation that we're complaining right now. And by the way, there was a six month investigation into the national security implications of steel imports that resulted in the implementation of the 232 tariff and during that process we made the point multiple times, that should they find that there are national security implications of steel imports that warrant implementation of a tariff, they had to look at the entire supply chain and that just simply didn't happen. 
Unidentified Analyst: Interesting! Thanks for your responses. It’s very frustrating. 
A - Howard Woltz: We agree. 
Operator: Thank you. I'm not showing any further questions at this time. I would now like to turn the call back to Mr. H. Woltz, President and CEO for any further remarks. 
Howard Woltz : We appreciate your interest in Insteel. We encourage your follow-up if you have further questions and we look forward to talking to you next quarter. Thank you. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.